Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to the Golden Entertainment First Quarter 2024 Earnings Conference Call. [Operator Instructions] Please note that this call is being recorded today. 
 Now I'd like to turn the conference over to Joe Jaffoni, Investor Relations. Please go ahead, sir. 
Joseph Jaffoni: Thank you very much, operator, and good afternoon, everyone. On the call today is Blake Sartini, the company's Founder, Chairman and Chief Executive Officer; and Charles Protell, the company's President and Chief Financial Officer. 
 On this call, we will make forward-looking statements under the safe harbor provisions of the federal securities laws. Actual results may differ materially from those contemplated in these statements. Additional information concerning factors that could cause actual results to materially differ from these forward-looking statements is contained in today's press release and our filings with the SEC. Except as required by law, we undertake no obligation to update these statements as a result of new information or otherwise. 
 During today's call, we will also discuss non-GAAP financial measures in talking about our performance. You can find the reconciliation of GAAP financial measures in our press release, which is available on our website. We'll start the call with Charles Protell reviewing the details of the first quarter results and the business update, following that, Blake and Charles will take your questions. 
 With that, it's my pleasure to turn the call over to Charles Protell. Charles, please go ahead. 
Charles Protell: Thanks, Joe. 
 We started the quarter by completing the sale of our Nevada distributed business, the last of 3 noncore businesses that we divested over the past 9 months. The proceeds from these transactions were used primarily to repay over $0.5 billion of debt including the redemption of our bonds in April that were outstanding at the end of the quarter. The financial flexibility recreated by reducing leverage and maintain liquidity has allowed us to establish a recurring dividend at an attractive yield and positions us to fully utilize our current $91 million share repurchase authorization. 
 Turning to our financial results. We generated revenue of $174 million and EBITDA of $41 million in the first quarter, which excludes the prior year operations from our divested Maryland casino and distributed gaming businesses in Nevada and Montana. 
 Comparing the results of the continuing operations in the first quarter, total revenue was down less than 1%, but EBITDA was down over 15%, primarily due to increased labor costs in our Nevada Casino Resorts as well as weaker revenues from our higher-margin Nevada Locals casinos. 
 At the STRAT, total occupancy improved almost 8% to 78% for the quarter with over 6% of improvement in midweek occupancy. Unfortunately, in March, Las Vegas missed several large drivers of visitation compared to last year, including CONEXPO which is one of the city's largest conventions, the hosting of NCAA tournament basketball games as well as a few sold-out concerts at Allegiant Stadium. 
 Despite a successful Super Bowl weekend in February, our ADR was down about 8% for the quarter. Weekend occupancy at STRAT was 96% for the quarter, but we were still missing over 12% of occupancy during the week compared to 2019, although that gap is narrowing with each passing quarter. We view improving midweek occupancy as a key component to growing EBITDA at the STRAT, and we continue to believe that our recent capital investments and the growth in Las Vegas visitation will increasingly improve our business throughout the year. In addition, Atomic Golf opened at the end of March, which is expected to drive additional visitors and locals to the STRAT for this new entertainment experience. 
 On the expense front, the STRAT experienced higher labor costs primarily driven by our new union contract that increased [indiscernible] by about 11% year-over-year. This will anniversary after Q2. We  also had about $500,000 of additional advertising expenses in the quarter to enhance our media campaigns for the STRAT in order to build consumer awareness and drive future visitation. 
 In Laughlin, we grew revenue slightly in the quarter supported by our new bingo room in Edgewater that is driving more local customers as well as having 8,000 seats filled for a concert at our Laughlin Event Center. Our rated gaming revenue and database activity in Laughlin remains healthy with improved visitation and spend across all tiers of players in the market. 
 Margins in Laughlin were impacted by higher labor costs as we compete for employees out of the limited pool of labor primarily residing in Arizona. We also experienced higher entertainment expenses related to the concert that increased comp activity as well as advertising expense. 
 For our Nevada Locals Casinos, revenue declined 5% and EBITDA declined 13% primarily due to decreased visitation spend in our low- and mid-tier rated players. Our largest revenue and EBITDA declines were in our Arizona Charlie's Boulder property, which we view as the most value-oriented casino in the portfolio. In addition, we have been impacted by road construction affecting the entry to our Arizona Charlie's Decatur property as well as seeing some increased promotional activity in the market. These trends have continued in April, but we see improvement in May. 
 First quarter Nevada tavern revenue was up 1% over last year, supported by the purchase of 4 new taverns in November, bringing our total locations to 69 at the end of March. On a same-store basis, total revenue declined 4%, driven by declines in food and beverage revenue, partially offset by a slight increase in same-store gaming revenue. 
 We attribute lower same-store revenue to declining retail demand as well as less frequent visitation from our lower tier-rated players. As a result, EBITDA for the Nevada taverns declined 11%. 
 In April, we purchased 2 additional taverns, growing our tavern portfolio to 71 locations, with 68 of them in the Las Vegas Valley. We anticipate opening our 72nd tavern by the end of Q2, and we still target growing the portfolio to over 90 locations within the next few years. 
 Now let me provide an update on our balance sheet. Outstanding debt at the end of the quarter consisted primarily of a $397 million term loan and $276 million of unsecured notes, with cash on hand of approximately $400 million due to proceeds received from the sale of our distributed gaming business. 
 In April, we used $287 million of cash to repay the outstanding notes and accrued interest as well as another $15 million for initial dividend and the purchase of 2 taverns. This leaves us with about $100 million of cash and access to $240 million of additional liquidity from our unfunded revolver. 
 Our current net leverage of less than 2x and strong liquidity profile provides us with the flexibility to continue to invest in our own assets, return capital to shareholders and evaluate potential strategic opportunities. While we continue to review actionable strategic opportunities, the current market environment and macro backdrop has made it less conducive to M&A for us. At this time, it's difficult to find an opportunity to acquire Nevada-based casinos with owned real estate, which would be more accretive than acquiring our own stock, which we intend to do over the remainder of the year with our current repurchase authorization. 
 That concludes our prepared remarks. Blake and I are now available for questions. 
Operator: [Operator Instructions] Your first question comes from David Katz, Jefferies. 
 Moving on. Your next question comes from David Bain, B. Riley. 
David Bain: Great. Very helpful commentary upfront. But so it seems like past CON/AGG and the other events in 1Q of last year, seems like 2Q through the rest of the year should be the best convention attendance since 2019. Obviously, not at that level yet, but that will obviously help STRAT occupancy. 
 Post remodel, are you looking at doing something different strategically, promotionally directed at groups or FID? I did hear you saying something about a new advertising campaign. Just any more depth on catalysts for STRAT midweek occupancy would be great given such a significant lever. 
Blake Sartini: Yes. I think as Charles said in his prepared remarks, we're seeing midweek occupancy grow as well as overall occupancy grow. You referenced an ad campaign. We did a regional ad campaign that rolled out towards the end of last year and the first quarter of this year to reintroduce the property and the new amenities that we provided there with our capital investment. 
 We will continue to advertise on a retail basis, if you will, the new amenities, and the new capital improvements at the property. In terms of FID and OTA in particular, we are attacking that by moving up on the search. If you scroll on these OTA sites, it's an endless kind of scroll for room rates and value in Vegas. 
 By improving our guest scores, we have moved up significantly in that -- on those OTA sites in terms of the scroll. We moved to the top of the pages, which allows us to produce, I think, more occupancy, better rates over time. So we will continue internally doing that. 
 And then as you mentioned, more conventions coming to town. We always rise in the high tide of that when Las Vegas is full. The challenge there has been the rate, as Charles mentioned in his opening comments, but we are seeing forward movement in the STRAT, and we believe we will continue to see improvement throughout the remainder of the year. 
David Bain: Okay. Great. That's helpful. And then if you can give us just a little bit more color also around Atomic Golf that launched, maybe insight if you have it and how it intends to further drive traffic or augment from here their awareness? And if you're going to be making any moves to sort of add to STRAT traffic now that you've seen the flow in audience in real time? 
Charles Protell: Yes. Look, we're pretty excited about it. I mean it's an $80 million project that's not off of our balance sheet. It opened at the end of the quarter so it's kind of in its ramping up phase. But we expect that to contribute $4 million to $5 million of EBITDA to us through a combination of a revenue share agreement we have with them, plus additional traffic that we think will be driven on the property. And we're seeing some of that now. 
 So you'll see on our website, we'll have certain promotions in terms of stay and play type packages. And again, we view it as just another amenity for our guests and a way that we could get some of the local population here in Las Vegas to come down and experience this new entertainment offering as well as the STRAT. 
Blake Sartini: Specifically, I would just add, the parking in our facility or valet parking through our valet, both front and back, at the STRAT is a way to drive traffic through there, which we are promoting internally and externally as well as providing Atomic in, let's say, combined with the room package at the STRAT that we're beginning rolling out. 
 So to answer your question, we are using Atomic specifically to drive foot traffic through the casino as well as to drive room inventory going forward. And as Charles mentioned, these are kind of green shoots right now that we're going to mature through the year. 
Operator: Your next question comes from Barry Jonas, Truist. 
Barry Jonas: Maybe talk about how you're prepared for the next minimum wage hike increase in July. You still think this will have a smaller impact than last year. And are you -- and I guess, getting out you think you'll be able to offset it. 
Blake Sartini: Yes. So that primarily is going to impact our tavern portfolio. We are preparing for that. Obviously, we budgeted for that. We are in the process of expense mitigation programs within the organization, much of it includes labor. We should reap the full benefit -- the full go-forward benefit of that towards the middle -- right now, actually, the middle of this quarter going forward. And then as Charles mentioned in his opening comment, company-wide, we lap the year-over-year cost comps, I think, in early Q3. 
 So we are -- to answer your question, we're employing mitigation efforts right now. And then those cost comps last in Q3. Both of those, I think, will -- we believe will begin to mitigate that headwind. 
Barry Jonas: Great. And then just as a follow-up, speaking of the taverns business, continue to hear other players in the market express some interest here. Wondering how you're viewing potential increased competition and if you're seeing anything maybe in an M&A environment there. 
Blake Sartini: We're not seeing anything in the M&A environment. We pretty much get first look at anybody who wants to sell or we have had first look. So we're in a good position there in terms of knowing what's available and out in the market. We also get one of the first look, if not the first greenfield opportunities, which we're focused on our 5-star locations, primarily at this point. 
 And the -- look, our footprint at this point, I think, is large enough that if you look at the regulatory complexities of each of these taverns having to be licensed individually, to get a large number, a significant number in a portfolio that would compete quickly, I think, would be nearly impossible from a regulatory standpoint. 
 So our size and our brand, I think, is a significant competitive advantage out there for us. Competition has always been there. And we've weighted our way through that very successfully. So we believe with our footprint and our brand, we're in a good position to not only grow but continue to stay strong in the tavern business going forward. 
Operator: [Operator Instructions] Your next question comes from Carlo Santarelli, Deutsche Bank. 
Carlo Santarelli: I have two. First one is a little bit bigger picture and second one is probably a little bit more bigger picture than the first one. But obviously, Charles, in your comments, and we see it in the data and we heard it from peers, but the trend seems to be down in most of the locals businesses in and around Nevada. 
 Given kind of the macro backdrop and acknowledging that things don't grow to the sky, what do you think has perhaps changed that's driving kind of some of the top line headwinds, some of the incentive for competitors to go out and be a little bit more promotional, et cetera? 
Charles Protell: Yes. I mean, look, we've got 600,000 active players in our database. So I think we have a pretty decent view at least in our population of what's going on with our consumer. And I think it's -- when you have persistent inflation and higher interest rates, some of that consumer is certainly feeling it at this point. 
 And so that's what we see. And I think that in terms of does that level off? Like I said in my remarks, we saw some of that trend continue through April, but as we look into May, we've seen some stabilization. Now some of that has to do within the local market. And our largest contributor to our local casinos is Arizona Charlie's Decatur property, which had the entry way blocked to road construction. 
 So when that's [ freed ] up, that's obviously helpful. But I think on the macro side, I think it's tougher to say that for the prolonged period of an inflationary environment and higher rates that, that has no impact on the consumer, including ours. 
Carlo Santarelli: Got it. And the second one, it's probably going to be a little bit tougher to answer. But when you look at -- let's just arbitrarily take 1Q run rate. The property level business is running at, call it, $210 million or so. There's, give or take, $50 million of corporate expense. You talked a little bit about the M&A environment on the buy side being tough. You certainly have a portfolio of assets that I think are attractive. I'm assuming potential suitors see many of the same headwinds that you see in that market. 
 But when you think about scope and size and you think about kind of the options -- strategic options that perhaps are -- could be available to you guys, what are some comments you could share as to how you view some of those things? 
Charles Protell: Yes. I think -- look, we look at everything, like I said in my comments, and we've looked at several things over the past several months as we've had these discussions with you guys in a public setting and then many others privately. And I think that the things that we see on the M&A front from the buy side are, quite frankly, not very appealing either in terms of size or the market they are or in the structure in terms of being an opco asset. 
 I'd also say that, again, from a rate environment perspective, that obviously impacts cost of financing. And so to make some of that math a little harder and also given where we're trading at, it makes it tougher to do deals that are accretive, where the bid ask is between buyer and seller. 
 So for us, what that leads to is what we said we're going to do, which is invest in our own assets, utilize our buyback authorization. We think that's the most accretive use of capital. But I'd also say that if you look at us as a company that owns its own real estate, even given where we're trading at today, at any market multiple for rent, you could pick a range that's in a lot of your research reports or where even the REITs are trading at right now, which is depressed prices, that value is in excess of our current enterprise value. 
 So to me, I'm not sure there's any action to be had until we are, quite frankly, valued appropriately for both the real estate and the operations of the business. But again, we're looking at all ways to unlock that value. But for now, we think that value is in buying our own shares. 
Operator: Your next question comes from Chad Beynon, Macquarie. 
Chad Beynon: Charles, Blake, you guys just kind of hit on what you're seeing in the database. Charles, in your prepared remarks, you talked about that lower end probably being the weakest part of it. Are you seeing any of that in the mid- to kind of core higher-end players? Like is it broad across the board? Or is it mainly in the lower segments of your database? 
Blake Sartini: Chad, I think the word mainly -- if you use the word mainly, it's in the lower tier of the database. The upper tier visitation is consistent. The mid-tier visitation is consistent, but the mid-tier may be -- the mid-tier spend may be a bit modest in some cases, visitation being consistent. So we think -- to answer your question, the main part of it is in the lower tier of the database.  Upper tier remains consistent, mid-tier is consistent visitation with, in some cases, less spend. 
Chad Beynon: Okay. And then as we think about maybe the next 12 months on the strip, you potentially have some supply coming off the strip with Trop just closed. Potentially Hard Rock under renovation and taking some rooms out of inventory. You have Fontainebleau which just opened, you have Rio new ownership.  When you put all these things in a blender, should that be a net positive for you guys as we're kind of thinking about some of the big convention weeks and F1. How do you see that? 
Blake Sartini: Yes. We think it's a net positive. Given the level of convention activity that we're seeing throughout the remainder of the year, the entertainment calendar throughout the remainder of the year, and as you mentioned, some inventory coming off the market pretty sizably actually, we do see it as a net positive going forward. 
Chad Beynon: And should we start to see that benefit -- like do you think you'll start to see that in maybe the fourth quarter in a meaningful way? 
Charles Protell: Yes, we -- I mean Q3 and into Q4 is when we think we're going to start to see that. 
Operator: There are no further questions at this time. I will now turn it back to management for closing remarks. 
Charles Protell: Thank you all for joining. We'll talk to you in the next quarter. 
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.